Operator: Welcome to the ITM Power final results investor presentation. Throughout this presentation, investors will be in listen-only mode. Questions are encouraged and can be submitted anytime via the Q&A tab situated on the right-hand corner of your screen. Please just simply type in your question and press send. The company may not be in a position to answer every question it receives during the meeting itself, however, the company reviews all questions submitted today and publishes responses where it is appropriate to do so. These will be available via your Investor Meet company dashboard and you’ll be notified by email when they are ready for your review. I’d also like to remind you that this presentation is being recorded.  Before we begin, we would like to submit to the following poll, and if you’d be so kind to give that to your attention, we would be most grateful. I’d now like to hand over to Dr. Graham Cooley, CEO, and Andy Allen, CFO from ITM Power. Good afternoon to you both.
Graham Cooley: Good afternoon. Thanks very much, and thanks to everybody in the audience for joining this call. We’re going to be presenting to you the final results for the year ending April 2021. Just a very short slide on positioning, first of all.  As you probably all know, ITM Power is an electrolysing manufacturer. We manufacture PEM electrolysis equipment, and we’ve been developing and deploying PEM electrolysers now for the last 20 years. We are scaling electrolyser manufacturing and deployment, and we moved into the world’s largest electrolyser factory at the beginning of this year, and we have a strong collaboration with Linde Engineering, so ITM Power is doing the scaling in terms of manufacturing and Linde Engineering in terms of deployment. Why is our electrolyser so interesting right now? Actually, the world is moving towards net zero and an essential piece of equipment to achieve net zero is the electrolyser because electrolysis equipment is used to couple to renewable power and make green hydrogen, which is the only net zero fuel, the only net zero energy gas, so incredibly important for the energy transition. What we’ve seen is a major acceleration in the market over the last year or two. Certainly over the last year the acceleration has taken the whole industry by surprise, and you’ve seen industrial companies, governments and policy makers announcing electrolysing targets all over the world. Perhaps if I can give you a bit more color on that, we had a very important report that was announced in May of this year - it’s the IEA report, and they identified that to get to net zero by 2050, the world needs 3,500 gigawatts of electrolysis. That’s a very, very large number - that’s about three centuries of the current production in the world’s largest electrolyser factory here in Sheffield. Three and a half thousand gigawatts at half a million pounds a megawatt is £1.75 trillion, a largely significant market, and that’s over the next 21 years. The Aurora report also came out in May and interestingly identifies 200 gigawatts of electrolyser projects that are already in development. Eighty-five percent of them have been identified as being in Europe.  If you look at the national electrolyser targets worldwide, these are targets for deploying electrolysis equipment over the next decade, so they are targets for deployment to 2013 and they total 144 gigawatts. There are many more hydrogen strategies, national strategies being announced all of the time. We also in June had the U.S. DoE’s Earthshot, which is the five major projects that the U.S. is going to enter into to get them to net zero by 2050, and the first announced Earthshot was green hydrogen, and actually the green hydrogen shot summit was last week, was chaired by John Kerry and actually attended by Bill Gates, and you can see a great emphasis now on green hydrogen also in the U.S., so an increasing emphasis on the need for green hydrogen to achieve net zero. Some achievements from ITM Power, then, we reported this morning a record backlog of 310 megawatts, record tender pipeline of 1,011 megawatts, which is just above a gigawatt. We have now moved into the giga factory in Sheffield, which is fully operational. We delivered the 10 megawatts at the Rhineland refinery and were really pleased to get the announcement from Shell that they’re expanding by 100 megawatts and will be doing that with ITM and Linde. We also completed the feas study in Humberside for 100 megawatts, and what we increasingly see now is interest in the class of electrolysers around 100 megawatts in size, and I’m going to show you more about that dynamic when we look at the tender pipeline. First of then, the results. The results, we’re looking at three levels: work in progress, contract backlog and tender pipeline, and at each level we’re going to drill into more detail about unpacking those numbers. The work in progress is up 125%, contract backlog up 45%, and the tender pipeline is up 94%, and you’ll note now that all the numbers, including the tender pipeline, are reporting the ITM portion of the value only. If we begin then with the backlog, both of these graphs, you can see five half-year results and then a final bar, which is related to the current position, so the penultimate bar is H2 2021. The backlog is made up of under contract, in the final stages of negotiation, and preferred supplier. Contracted is 43 megawatts, in negotiation 169, and preferred supplier with Snam is 98 megawatts. You can see that for the first time, contracted plus negotiation has now gone over 200 megawatts in size, and in fact if you look at the blue line on the right-hand chart, you can see the tender pipeline. The tender pipeline is the number of quotations we’ve made against commercial tenders over the last 12 months, and it has increased radically since June. Back in June, it was 600 megawatts, it’s now 1000 megawatts. Actually if you go back two years, the tender pipeline was around 200 megawatts in size, which is what we now see in the backlog, so the trend in both cases is following a rapid growth, the backlog lagging the tender pipeline by about two years. The other thing that we see in the tender pipeline is an increased weighting towards larger projects, and I’m going to explain that a bit more now in a couple of slides. When we look at the projects, we’re looking at the products that are deployed in projects of a given size, and we divide the tenders up into projects between nought and four megawatts in size, and all of these are plug and play containerized units which are deployed by ITM, and you can see a picture of those products on the top right-hand side of the slide From four to 20 megawatts is a crossover between plug and play containerized products and those that are integrated with an EPC contract by ITM Linde electrolysis. From 20 to 80 megawatts, those projects are deployed using the two megawatt module, and above 80 megawatts we deploy using the five megawatt modules, and at both those levels those are integrated within EPC contract by Linde. If you look at the tender pipeline then, you can see how many projects and the total number of megawatts in each of those classes of project, so projects that are between nought and four megawatts, where the deployment is done by ITM, there are 87 megawatts in total across 42 projects. If we go to the next level, up to 20 megawatts in size, fewer projects, 13, but more megawatts, 154, and as you increase down between 20 and 80 megawatts is 190 megawatts with only five projects, and at the very largest class, deploying our Gigastack five megawatt module is more than half of the tender pipeline with only three projects. We have a very significant move and an increased weighting in the tender pipeline towards larger projects deploying the five megawatt stacks with a Linde Engineering EPC. In terms of where the projects are in the world, you can see the pie chart divides up into EMEA, APAC and the Americas, and actually the EMEA territory is leading, particularly Europe, and you can see a very significant amount of the projects are in Europe. If you go to APAC then, particularly Australasia, you see a fast follower and the projects are building there, particularly very large scale projects, and then the U.S., where we very pleased to announce a four megawatt electrolyser at Niagara in the results. In America after the announcement of the Earthshot is just getting started with large scale industrial electrolysis, and we see this as a very significant growth area, and actually we have quite a significant position in the U.S. because of Linde and their deal a couple of years ago with Praxair, so we feel very encouraged not only by our first major reference plant in the U.S. but also Linde’s presence there. So that’s locations.  In terms of applications and end use, you can see that the most significant application is energy - this is power to gas energy storage, working with [indiscernible] energy companies. In APAC, the most significant market is industrial, so this is looking at things like refineries, ammonia, and methanol production. The third and smallest category is in mobility. What is it exactly that customers are looking for? When we have negotiations with customers about electrolysis equipment, all customers are looking for the same thing - they’re looking for the lowest levelized cost of hydrogen or the lowest total cost of ownership of the equipment. To achieve the lowest levelized cost of hydrogen, the most important thing is the production costs because when you look at the revenue model for green hydrogen, the most significant cost is the renewable power, so that relates directly to the performance of the electrolyser, so that’s key and that’s the most significant. Second is the full system price to the customer, so that’s the capital outlay and it has to be full system, and then the aftersales support, that’s looking at not only the lifetime and the performance but sharing performance data with the customer, so that they can operate the electrolyser in an optimal fashion. At all three levels, we look at optimizing our electrolysis equipment, and there are sources at all three levels of competitive advantage and we work by investing in R&D and continuous improvement on the performance of the electrolysers. We have a very aggressive cost reduction program for the lowest full system price, and we’re working closely with Linde in that area and also we’ve been developing remote monitoring and excellence in aftersales support, so we feel that we have a competitive advantage at all three levels of reducing the levelized costs of green hydrogen. Then finally, my last slide about partnerships. At ITM, we’ve spent most of the life of ITM developing long term productive partnerships, so we started deploying electrolysis equipment on Shell forecourts now back--well, our first announced collaboration with Shell was back in 2015. We started deploying 100 kilowatt units back in 2017. Fast forward to this year and we’ve announced 100 megawatts with Shell. That projected is going to be deployed with Linde, and we’ve been on the whole journey with Shell but also with Linde, so that’s more than half a decade.  At Linde and recently Snam became strategic investors in ITM Power, and we’ve also developed a strong relationship with Scottish Power, who are part of the Iberdrola group, and also with Allstate working on the Humberside project, and also on the OYSTER project, also collaborating with Siemens Gamesa in that project, and then last but not least with Sumitomo, and we were delighted to announce the first large scale electrolyser to be imported into Japan. It’s the first non-Japanese electrolyser to be imported into Japan and it’s working not only with Sumitomo but also Tokyo Gas, so I think an important announcement for that territory. Going forward then, partnering particularly with renewable energy companies and the oil and gas industry is going to be a significant part of our strategy.  I’ll hand over now to Andy, our Chief Financial Officer, who is going to take you through the financials.
Andy Allen: Thanks Graham, and good afternoon all. I’m going to take you through the key drivers for the finances for the year ending April ’21, and also take a look at the results snapshot which you will see in this morning’s announcement. I’ll also be talking about the performance revenue, EBITDAR and cash [indiscernible] and guidance for the current financial year. In terms of key drivers, the obvious one that we’ve spoken about before is the move into Bessemer Park, and Bessemer Park opened in January 2021 and was officially opened more recently by the Secretary of State. During the financial year, we fit out the factory with semi-automated plans and we’ve got the blueprint and the machinery for further expansion that can scale to a gigawatt within six months and we’re able to respond to demand we see coming.  In terms of partnerships, this was the first full year where we’ve worked with ILE, which is the joint venture between ITM and Linde. ILE is really the sales quoting house for large scale product that ITM would sell, and ILE is now up to 15 staff whose mission is to fill the factory, so not only have we got the sales team within ITM but we’ve also got ILE, and whilst that hasn’t impacted the numbers yet, what we’re starting to see is the impact on the tender pipeline. We also had the partnership with Snam and the investment of £30 million, which formed part of a wider fundraise totaling £172 million.  We’ve also seen the REFHYNE commissioning where ITM had a significant chunk of EPC scope as part of the project that’s coming through the numbers. That was commissioned and inaugurated in July this year and broadly we’re closing out that project now. Finally in terms of partnerships, we had the Gigastack product program development with BEIS, where we’re developing our next generation of products. You’ll see from Graham’s slides that we’re now quoting that in many tenders going forward. The other thing that’s been a feature the last financial year, global events. We all understand the pandemic and how that’s impacted daily life. For ITM, it’s been about how to get onsite and finish site works. Our revenue recognition is dependent on us completing the final milestone in our contract, and certainly for plug and play units that includes onsite commissioning and installation. We’ve also had Brexit providing an element of disruption in terms of getting to site to conclude those works. Post year end, we’ve got a developing disruption within the supply chain particularly around microchips, which affect our plug and play systems. This has been quite widely reported, actually ITM’s demand is very, very low and it only impacts one sub-system, but that is still something that could be a risk in the current year. A results snapshot, then. We had total income of £5.1 million, down 6% year-on-year, but what was up was the sales revenue, and sales revenue was £4.3 million, up 30%. This is where we start to see grant income being a small part of the income mix going forward. ITM still looks to win grant income to develop the technology road map and have that subsidized and create innovation along the way, but equally we’re seeing more and more of a lean towards product revenue. Our adjusted EBITDA loss was £21.4 million, and that’s characterized by a few features. The big one, we spoke about the refined projects being commissioned - that’s one of a couple legacy projects where we’ve incurred gross losses mainly around the EPC bit of the scope, the onsite works, and was a key driver for relationship that we’ve generated with Linde, where they would now take that work. The other part about the loss was to basically set up to capture the one gigawatt of demand that we see coming per annum through Bessemer Park.  In terms of balance sheet, we had £176 million of cash at year end and a cash burn of £32.7 million, of which about a third of that was on capital equipment for Bessemer Park.  Just on the revenue then, the graph on the right-hand side tells us the picture about how this differs from the prior year. The prior year was the grey bar on the left, £3.3 million of income, and the year ended April ’21 is on the right-hand side, £4.3 million. We can see the first orange by the first dip is in product revenue, and that is because we haven’t been able to complete all of the onsite works we might have expected to. Then you have an uptick in consultancy, and just to be very clear on what that is, that is money we received for developing the Gigastack product and so it’s all about technology road map, rather than ITM becoming a consultancy company. Maintenance is starting to tick up and we saw fuel cells also impacted by COVID, to leave us with £4.3 million of revenue.  In terms of EBITDA, you see the prior year £18.1 million of loss and April ’21 £21.4 million of losses. The first orange bar, £0.7 million was the difference between gross margins in the two years as we closed out those legacy projects. The next three orange bars represent investment, so we firstly have [indiscernible] and I’ve got a slide coming up of that resource in ITM, but we’ve brought in skilled manufacturing experience and project delivery experience for the company. We then had £0.6 million of losses in ILE, the joint venture as it starts to grow, and what we’re expecting is we’re expecting a need to support ILE until the end of calendar year 2022, at which point it ought to be self-sustaining. Then finally, we spent more on R&D than we did in the year before as we developed the Gigastack product and the technology surrounding that, so really the middle three bars are all about setting us up for the future.  In terms of resources then, as at the end of August we had 305 full time equivalents, and you will have seen an RS recently which said we’ve filled [indiscernible] and ops director vacancies and we’re now seeking a projects director as well, so we’re strengthening the management team. Within the other increase that we’ve had this side of year end, we’ve had a heavy emphasis on delivery, so 27 people within production and quality, 41 within R&D, 10 within aftersales, and 9 within projects. We’ve also added five people to the sales team, but that doesn’t include the impact of the ILE team and work we’ve done previously to bolster our business development at the site. In terms of the balance sheet, we ended the year with a strong balance sheet with £176 million of cash at year end, and the bridge really for me splits into two parts. There’s been operating activities, which is Bessemer Park, we’ve spent £70.2 million on operating activities and £10.4 million on capex, and there’s a working capital impact of £3 million, £2 million of that is building inventory and really starting to reduce lead times for customers. In terms of partnerships, we’ve invested in ILE, we’ve received money from the fundraising of the Snam partnership and we’ve started to spend money on Gigastack as well, which is recognized on the balance sheet, so in total we’ve spent about £4 million on Gigastack in the year. Finally to the current year guidance, we’ve added an extra metric here, which is the core stack module production. This is the core bit of electrolysis in the middle of the products that we make, and that would be in excess of 55 megawatts this year with an ability to ramp, so that is the core system that goes into everything. Beyond that, we have different subsystems that then are attached to it to make up a completed product. We’re expecting that production volume to be between 33 and 50 megawatts this year.  Revenue recognition will depend on a few things that we’ve already touched on - site access in particular, travel restrictions, but also some disruption to the supply chain affecting plug and play products. As we said before, revenue will be heavily weighted to the second half of the year, and we look forward to updating you more at a later date.  I’ll hand back to Graham for a final slide.
Graham Cooley: Thanks Andy. Just a quick summary from me then, so the results were very well telegraphed and predicted in the June 10 trending update. I think the announcement this morning is important in terms of achieving record backlog of 310 megawatts but also particularly the record tender pipeline of 1011 megawatts, which is up very significantly since June 10. We are seeing very strong market and policy momentum, and I think actually in the run-up to Cop26, you will see further green hydrogen announcements, further hydrogen strategies announced by national governments as we move into Cop26, so the momentum in the whole industry is very, very strong. Thank you very much for joining the webinar, and we’re happy to take questions.
Operator: Dr. Cooley, Andy, thank you very much indeed for updating investors this afternoon. Ladies and gentlemen, please do continue to submit your questions using the Q&A tab situated on the right-hand corner of your screen. Just while the company takes a few moments to review investor questions submitted already, I’d like to remind you that a recording of this presentation along with a copy of the slides and the published Q&A can be accessed via your Investor Meet company dashboard, and you’ll be notified by email when it’s ready for your review. I’d also like to remind you that your feedback is important to the company and immediately after this presentation has ended, we’ll redirect you for the opportunity to provide your feedback in order that the company can better understand your views and expectations.  I’d now like to hand over if I may to Simon to host the Q&A, so if I may, Simon, I’ll hand over to you. With the live questions, if I could ask you to read out the questions, that would be most grateful. 
Simon Bourne: Thank very much, Mark. Let me start with a few of the pre-submitted questions, all of which, by the way, have been asked from the live attendees on this webinar.  Let me start with one for Graham. What’s the likelihood of reduced use of iridium in the electrolysis units, and how are you dealing with PGM sourcing?
Graham Cooley: Yes, so a question that comes up very regularly, actually. The place to start with this really is the length of time we’ve been working in this industry, so precious group metals and the use of precious group metals in electrolysis, in PEM electrolysers, they’re also used by the way in other forms of electrolysis, including alkaline electrolysers. That’s a source of great competitive advantage for us now. We’ve been working on reducing the amount of materials that we use. We’ve been working on recycling and we’ve been working on reuse, and I think we’ve made massive progress in that area. In fact, in our trading update we did note that we exceeded the 2030 EU target two years ago, so yes, a source of, I think, strong competitive advantage for us. We didn’t put out in this results presentation the cost reduction curve because we’ve presented it constantly for about two years, but I can confirm that we are still tracking ahead of that cost reduction curve and that includes the current costs of all of the materials that go into the electrolysis equipment.  The other thing to probably say is that we just appointed a head of production, and we’re very, very focused on strategic procurement, and we’ll be doing more and more work in the supply chain. Precious group metals and catalysts as far as we’re concerned is a source of competitive advantage for ITM.
Simon Bourne: Thank you. A couple of questions on when you might pull the trigger on a second giga factory, which you’ve said you’ll do when Bessemer Park reaches 60% capacity. When is that expected to happen, and are you currently actively looking for a suitable site?
Graham Cooley: Yes, I think that the tender pipeline and the backlog numbers are moving very quickly. The tender pipeline particularly and the amount of activity in the market has surprised the whole of the industry, actually. The exact date, it’s difficult to say, but the answer to your second question is very definitely yes, we are already looking for a second factory.
Simon Bourne: Okay. A question for Andy here, I think. Given the company’s forward financial projections, when do you expect to move into gross profit or to become cash flow positive?
Andy Allen: Yes, so obviously there’s a number of notes out there and we can see the consensus for cash flow positive is somewhere between 2024 and 2025 financial years. 
Simon Bourne: Okay. With the expected growth of the hydrogen market, why isn’t ITM pulling out all the stops and getting the second factory up as soon as possible? Would it not be beneficial to have a stock of off-the-shelf electrolysers ready for when orders come flooding in, rather than making them to order?
Andy Allen: I think we’re starting to do that, and you see that in the core module that we’re doing. There’s something that we need to work with, the supply chain and the production line to ramp up - you can’t go from zero to one here, and we’re starting to do that and we’re building in capacity as we go, so I think Bessemer Park gives us an opportunity to start to build to inventory, and there will be a point where we will see, as Graham said, we want to extend it to a second factory, but Bessemer Park can give us some of that flexibility.
Simon Bourne: Thank you. Graham, I guess this one’s for you. Given the recently announced UK hydrogen strategy, when do you expect that strategy to impact on your order book, if it hasn’t already?
Graham Cooley: Yes, so you will have seen the announcement of the hydrogen strategy in the UK. What that identified, two areas of incentive in terms of revenue, the revenue model for green hydrogen, one in terms of capex. The capex one is a quarter of a billion grant scheme for low carbon hydrogen, and the two revenue ones, which I have to say by far are the most important because that will incentivize the deployment and for investment to flow into the industry. There’s the RTFO in transport, which is in consultation at the moment, and it has been confirmed that there will be an RTFO for green hydrogen in transport, which is great news for ITM Motive, and also that there will be a CFD for green hydrogen and for blue hydrogen, and it’s been confirmed that there will be that CFD and that has now gone into consultation, so we’re looking at that being announced as a biddable scheme in 2022. Those projects of course will be large projects, because they are CFDs for replacing industrial grey hydrogen with green hydrogen. So UK, there are two targets - one is a five gigawatt target which is part of the raft of targets to 2030, but also one gigawatt target to 2024, and that’s a very important one because you can’t really deploy blue hydrogen in the 2024 time scale. Actually, most of the blue hydrogen projects are looking at 2028, so that implies that that would inevitably be green hydrogen projects, and that’s as much as I can say. I am a member of the Hydrogen Advisory Council, so there is a lot going on, but those statements I’ve just made are those ones that are already published. 
Simon Bourne: Thank you. A two-part question coming up. Graham, maybe you could start on this one and then Andy. What are the greatest challenges you have converting tender pipeline opportunities to backlog contracts, and given the sizeable backlog, what’s the biggest challenge you face when it comes to converting those to revenue?
Graham Cooley: Yes, so challenges in all cases are that large companies have to make final investment decisions on large pieces of equipment. I think the tender pipeline lags--the backlog, if you look at it, and this is more a piece of correlation rather than direct causation, but the backlog lags the tender pipeline by about two years, so if you look at the backlog now under contract plus the final stages of negotiation, in these results for the first time it went over 200 megawatts, and if you look back two years ago, the tender pipeline was at 200 megawatts, so you fast forward to June, 8,600 megawatts, and now this morning the announcement of 1,000 megawatts. So what’s the difficulty in that? Well, it’s the sign-off of large schemes, and we’re working more and more closely now with partners in the energy industry who have targets that they need to meet. Let me give you one example that’s driving the industry forward, which is that all refineries in Europe have to comply by the renewable energy directive, so they all have to make 14% of their product renewably by the end of this decade. To deploy, they’ve got eight years, and that is a very large amount of electrolysis equipment, so worldwide hundreds of gigawatts. That’s one of the drivers that are driving things forward.
Simon Bourne: Okay. Andy, any comments on converting backlog to revenue?
Andy Allen: Yes, I hadn’t forgotten, Simon. There are two features here, really, and it really depends on when the revenue recognition is. One of the challenges of getting stuff through our factory and revenue recognition at the factory [indiscernible], there’s not so much challenges but there are opportunities for us to reduce lead times as we build to start or we build subsystems, so that will accelerate the revenue recognition but I wouldn’t necessarily characterize any of that as challenges.  The greater challenge, or the bit where ITM has particularly in the last year had less control, is the onsite works, and if revenue recognition depends on site acceptance testing, then there’s been a lot out of our control in the last 18 months, so as we start to see things becoming more normal, that will also drop away. But we are also still reliant on working well with partners and subcontractors to an extent when we’re doing the onsite stuff, so I think the challenges particularly around factory are really opportunities to go faster, and there’s still a little bit to unlock with the onsite work.
Simon Bourne: Thanks. A couple of questions now, definitely for Andy, I think. Can you please explain why provisions on the balance sheet have risen to £12.3 million, and whether we should expect a further increase in fiscal 2022?
Andy Allen: Yes, I certainly can. The bulk of that, about £5 million of that is a provision on contract losses, and just to say exactly what that is, there’s these legacy projects that we’ve recognized a gross loss on in the FY21, and they include the full cost of completion plus a certain amount of contingency in there as well. Beyond that, there are provisions for leaseholds and dilapidations, what I would call ordinary course of business as you have the large site, and that will grow in line with the length of the lease for Bessemer Park. Finally, there’s a provision around share options costs, which is actually cash neutral to the company, so that’s a bookkeeping piece rather than anything else.
Simon Bourne: Thank you. Given the outlook for the electrolyser market worldwide and what might be needed to get to net zero, wouldn’t it be in the company’s interest to consider licensing its technology to some of its strategic partners alongside the build-up of owned and managed capacity around the globe?
Graham Cooley: So licensing is an interesting dilemma, really. If you license your technology, what you have to do is control improvements, and if you don’t control improvements, then you can lose control of your own intellectual property. You also don’t capture all the advantages of going through the process of manufacturing and working directly with customers, so it’s not a preferred model as far as we’re concerned. I think that being a manufacturer and also particularly running an aftersales support model, where you’re also looking after electrolysers in the field, developing an installed base and working with customers is the way to do it, and I think some technology companies license their technology out too quickly. I think they experience erosion of their IP, and although it is a lower capital intensive model, I think it’s one that ultimately ends up with loss of control.
Simon Bourne: Okay. I think a question for both, but probably starting with you, Graham. What’s your approach to pricing? Is there a gross profit figure that you have in mind and is industry on the same page, or are you looking ahead and offering customers value to gain market share?
Graham Cooley: Yes, it’s a great question. Pricing strategies are very, very important. You can have a competitive advantage in terms of technology and manufacturing, but it’s easy to choke off orders with price. What you really want to do is actually enter the market as aggressively as you can, so cost reduction is very, very important in the early days. There comes a point then when cost reduction can lead to an increase in margin, and some of it you can pass onto the customer to gain market share and to increase your installed base, and some of it you need to keep as margin. We constantly review that as we go forwards. 
Simon Bourne: You mentioned reducing lead times. What’s the rough average lead time on a project? Andy, perhaps you could talk us through the timetable.
Andy Allen: Yes, sure. To factory acceptance and testing, Graham’s given you a picture of different types of projects. A plug and play system historically would have been about 14 months a year ago, and we’re now down to somewhere between nine to 12 months in terms of lead time, so that’s good. When you look at modular solutions, then that could be quicker still. The [indiscernible] is simpler and we’re doing something repetitious, so probably round about six to nine months for those cubes with opportunities to improve that further. 
Simon Bourne: Thank you. I’m going to ask this question because there are four or five people who’ve asked it. What’s your win rate for tenders?
Graham Cooley: Yes, it’s very difficult to assess. We haven’t got enough data to assess that, and you can’t just look at the tender pipeline and divide by a number and say, that’s what it looks like. We just don’t have enough data and things are moving very, very quickly, so hard to assess. 
Simon Bourne: Okay, and again a question that’s come up more than once today, who are your competitors and how do you track what they’re up to in the marketplace?
Graham Cooley: Yes, so there are other companies that make PEM electrolysers, and there are companies that make alkaline electrolysers, and they’re kind of the usual suspects. In the area of PEM electrolysis, there’s Siemens Energy, there’s Cummins, who bought Hydrogenics, there is Nel who bought Proton OnSite, and there is Plug Power who bought Giner. Alkaline electrolysers, the market leader is [indiscernible]. There are a few other smaller players as well, those that are developing pressurized alkaline. There’s a handful of competitors. I think that it’s a big market, it’s moving very quickly. I think there will be new entrants, no doubt about that. It’s a great market to be involved in, and all of our competitors will get projects because I think it’s a large enough market with lots of industrial collaborations being developed.  How do we track--sorry, a key part of the question, how do we track our competitors? It’s actually quite difficult to know what everybody is doing, apart from there are a lot of press releases. Those are more at the level of renewable energy companies collaborating with the molecules industry, so the chemicals industry and the oil and gas industry. The listed companies put out results, but we’re not really--we don’t really dwell on what everybody else is doing. For us, the most important thing is doing what we do as well as possible, so I wouldn’t say that we’re that concerned, really. We get a lot of intelligence from our partners, but the market’s moving incredibly quickly, the pipeline are moving very, very quickly, and I’m sure all of those competitors will do well.
Simon Bourne: A question for Andy. Can you make any comment on expected gross margins within the current contract backlog, and there’s a supplementary about positive gross profit or positive EBITDA, but I think you’ve already covered that one, so any comments you can make on expected gross margins, Andy?
Andy Allen: I think we could probably give some indications here. The projects that are in the backlog and under contract have been bid with positive margins and the long run expectation of getting somewhere between 20% and 30% margin. Graham’s already pointed out that we need to fill the factory as well as continue to be at the front and have an installed base, so that might not happen this year.  The other part of that is obviously we are closing out these legacy projects with EPC work in the current financial year, and those seem to be in line with the forecasts that we had at year end, which has not impacted gross margin this year. That’s still an exercise we need to go through.
Graham Cooley: We are involved in quite an important value engineering exercise. We work very closely with Linde and internally in ITM on cost reduction, so when we tendered, actually we’re still pushing hard for cost reduction which will of course affect margin.
Simon Bourne: Thank you. A question on partnerships, Graham. Could you provide a bit more detail on the partnership with Shell and give us a sense of how the relationship has evolved? Secondly, Shell is not alone in the oil and gas space. To what extent are other oil and gas players actively looking at green hydrogen and electrolysis? 
Graham Cooley: Yes, so the working relationship with Shell is extremely good. You saw them inaugurate the 10 megawatt electrolyser and announce 100 megawatt project with ITM and ILE, so I think that’s a very strong and positive endorsement for all of ITM and also ITM’s technology and its relationship with Linde. They know what that relationship with Linde is like because we’ve been deploying hydrogen refuelling stations on Shell forecourts going back to--I think the first one was opened in 2017, so that’s half a decade ago, so we’ve been working closely with them and it’s a very, very positive relationship.  We did the full EPC on the Shell project, and the next project we do with them, Linde will be doing that, Linde Engineering will be doing that EPC.  In terms of other oil and gas players, we work with Phillips 66 in Humberside, looking at the 100 megawatt deployment with Allstate and Phillips 66 to decarbonize that Humberside refinery. We work at Leuna, the 24 megawatt electrolyser at Leuna. We’ll be putting green hydrogen directly into the grey hydrogen pipeline which is used by the whole of their chemicals part, and that includes Tipp Town, so another oil and gas player. Of course, Linde have many installations where they provide grey hydrogen to the oil and gas industry and the chemicals industry, so they are really well plugged into the whole of that industry.  The dynamic that’s going on in the oil and gas industry is moving from fossil energy gases and fossil fuels to net zero molecules, and actually the dynamic in the renewable energy industry is towards power power-to-x or making green hydrogen for energy storage, so the big macro picture is you’re seeing renewable energy companies partnering with oil and gas companies, and indeed you’re seeing oil and gas companies buying renewable energy assets, so this is a very, very strong industrial dynamic right now. 
Simon Bourne: Okay. Andy, a question for you. Will all of the 33 to 50 megawatts completed products volume for the current year be recorded at ITM revenues, or will some go through the Linde joint venture? If that is the case, what’s the split?
Andy Allen: Yes, okay. The 33 that we have contracted, we know that we’ve got 24 which are modules that go through ILE, and then the balance is smaller plug and play systems, which will be going 100% to ITM. When we’ve been reporting the numbers in the RNS and here, those are all values attributable to ITM, so we’re trying to remove what has historically been some confusion about what’s ITM and what’s Linde. All the numbers we reported here are values to ITM, so that’s the 33 that we have contracted. The other 10 we have contracted is the REFHYNE project, which is a bit of an outlier because that is recognized on stage of completion, but it’s all ITM again. There’s only a small amount of revenue left to recognize on that.
Graham Cooley: If I can add to that, as projects get larger, they have more and more additions to the balance of plant, and some projects we’re quoting now, the Linde part has got ammonia plant associated with it, it’s got liquefaction plant, it’s got additional compression and so on, and it doesn’t make any sense to quote--for us to put the numbers out, any other number than the pound value to ITM Power, which is what is in our announcement today. You saw the slide and the table of the three different levels - the work in progress, the backlog, and the tender pipeline, and all of those stated pound values are to ITM only.
Simon Bourne: Okay. Graham, I think this is probably for you again. A number of questions on the levelized cost of hydrogen. Let’s start with how much more expensive is green hydrogen today compared to grey hydrogen, and when do you think you might reach parity as an industry or as a company?
Graham Cooley: Yes, so the cost of green hydrogen is broadly the cost of the renewable power that you put through it, so to say how much is green hydrogen is a bit like saying how much is electricity. You wouldn’t ask the question, how much is electricity, and the reason you wouldn’t is it depends where you are and what point in the network you are.  When do you get to parity with grey hydrogen? Well, broadly speaking when you’re around two pence per kilowatt hour for power costs. At that point, you’re comparable with grey hydrogen in the UK, and getting to that cost requires you, first of all, to have direct coupling so you don’t pay distribution charges, and then also we’re looking at being able to use electrolysers to balance the grid and get grid service payments as well.  If you look at the McKinsey model, for instance, and you look at an electrolyser of half a million euros or half a million dollars a megawatt with a load factor of around 40% and $0.02 per kilowatt hour, you’re looking at hydrogen about $1.60 a kilogram, and at that point you become competitive with grey hydrogen. Grey hydrogen has a market of 600 gigawatts per annum worldwide, 70 million tons, so there are many predictions. You can look at [flats], you can look at the Hydrogen Council, you can look at Bloomberg New Energy Finance, but for the mid 2020s to 2030, about $1.60 per kilogram by 2030 going down to $0.90 per kilogram, making a net zero energy gas competitive with grey hydrogen. They are the McKinsey numbers and the Hydrogen Council numbers, not ITM Power numbers.
Simon Bourne: Okay. You mentioned on the way through that it would take you six months to scale up to one gigawatt at the Bessemer Park. Could you just explain what you meant by that, please?
Graham Cooley: Andy, do you want to talk about capacity?
Andy Allen: Yes, sure. We’ve put down machines that are semi-automated and we’ve validated a whole load of processes in the first half of this calendar year, which are new processes to Bessemer Park which wouldn’t fit into our older production facility, that includes technologies for the core products but also for managing the larger products as it goes around the factory.  Really, what we’re saying here is we’re not just jumping up to the gigawatt capacity ahead of that demand coming. We have built in flexibility within the factory that we can add machines as we need to increase the capacity to that gigawatt [indiscernible]. 
Graham Cooley: So you know, we’re working on development work, we’re working on cost reduction, and we’re working on understanding what the product mix will be, so we have a product mix indication now from the tender pipeline and I presented it to you, and that broadly speaking looks like the sort of product mix that we will need to design into the processes for the factory going at a full one gigawatt. We’re also doing value engineering and cost reduction to make sure that we pin down exactly what it is we’re producing, and value engineering is going to play out over the next few months, as is understanding our product mix, and we’ll be able to gear up production in a more accurate fashion.
Simon Bourne: Thank you. Okay, another one, another last question, I think for the time being, maybe two more. Can you explain how the relationship between ITM Power and ITM Motive will work going forward, and how are you going to be addressing the various mobility markets?
Graham Cooley: Yes, so ITM Motive’s strategy is a return to base refuelling of industrial vehicles, so commercial vehicles. We’re looking at buses and trucks and trains, and a number of other municipal vehicles like dust lorries and sweepers and so on. There are a large number of OEMs now moving forward with either hydrogen conversions of those vehicles or actual fuel cell new vehicles and new electric drive trains, and that’s our market for ITM Motive. We’ve been talking with fleet operators, with local councils, and also large--and also the OEMs making the vehicles.  The RTFO is a very significant coming announcement from the UK government. The RTFO is the incentive for using green hydrogen as a fuel. It’s in consultation right now, and as soon as that is announced, it will propel that industry forwards, and we are aligning ourselves with some very significant players in the UK to develop that part of the business. Of course, we’ve opened the Birmingham refueling station, we worked with National Express in Birmingham, and--yes, more and more interest coming for the heavy vehicles, not so much the infrastructure refuelers. 
Simon Bourne: Okay, I think we’re on the final question before we call it time. Would you go even larger than the five megawatt stack that you’re developing, and how key is that five megawatt stack and developing it quicker than two years on the accelerated timetable to your future prospects?
Graham Cooley: Yes, five megawatts is a big module. If you look at the battery energy storage industry, for instance, the largest cells or modules that you see there are about 50 kilowatts, so you’re talking about 100 times the size of battery installations that use modules. There’s a logistics consideration to do with size as well. You have to be able to--if you manufacture a module, you need to be able to move it around. You need to be able to deliver it and transport it, and that means to get it onto standard transport and do the logistics, you wouldn’t want to go too much larger. We did an exercise with Linde Engineering about how you do these deployments, and the strategy that we came up with was a five megawatt module which is integrated into 20 megawatt packages with a standardized balance of plant, so that you could also reduce the cost of the balance of plant by standardizing and modulizing the balance of plant as well. The building block is a module with five megawatts with an integrated 20 megawatt package to take you through installations that go up to hundreds of megawatts in size.  How important is it? Yes, it’s important. I mean, the weighting in the tender pipeline is definitely towards the larger scale projects and integration five megawatt units.
Operator: Dr. Cooley, Andy, thank you very much indeed for being so generous with your time, and thank you also to all the investors who have taken time to submit questions during today’s presentation. Of course, we make all of these questions available to the company post this presentation in case there are any other additions or answers that can be given. Dr. Cooley, before I redirect investors to provide you feedback, I know that’s particularly important to the company, I could ask you perhaps for a few closing comments, as I say, before I redirect investors to give you their thoughts.
Graham Cooley: Sure, okay. First of all, thanks very much for joining the call. It’s much appreciated. I think ITM have had a pretty amazing year this year. We moved into the world’s largest electrolyser factory in the midst of a pandemic and Brexit. We’ve developed partnerships that have become very productive in terms of quoting equipment worldwide. Our pipeline has increased, our backlog has increased, and we are in a position now where the factory is, I think, performing very, very well and the future looks very significant for green hydrogen all over the world. We’ll see some, I think, interesting announcements in the run-up to Cop26 where nations all over the world begin to articulate more their hydrogen strategies, and we certainly look forward to making some great announcements over the next year. Thanks for coming.
Operator: Dr. Cooley, Andy, thank you very much indeed for updating investors this afternoon. Could I please ask investors not to close this session as we’re now automatically redirect you for the opportunity to provide your feedback in order that the company can better understand your views and expectations. This will only take a few moments to complete and I’m sure will be greatly valued by the company.  On behalf of the management team of ITM Power, I’d like to thank you for attending today’s presentation. That now concludes today’s session. Good afternoon to you all.